Operator: Good morning, ladies and gentlemen, and welcome to Hydro One Limited's First Quarter 2025 Analyst Teleconference. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Wassem Khalil, Director of Investor Relations at Hydro One.
Wassem Khalil: Good morning, and thank you for joining us for Hydro One's quarterly earnings call. Joining us today are our President and CEO, David Lebeter; and our Chief Financial and Regulatory Officer, Harry Taylor. On the call today, we will provide an overview of our quarterly results, and then we will answer as many questions as time permits. Today's discussions will likely touch on estimates and other forward-looking information. You should review the cautionary language in today's earnings release and our MD&A, which we filed this morning regarding the various factors, assumptions and risks that could cause our actual results to differ as they all apply to this call. With that, I'll turn the call over to our President and CEO, David Lebeter.
David Lebeter : Thank you, Wassem. Good morning, and thank you for joining us for our first quarter 2025 earnings call. This morning, I will provide an update on our recent activities and accomplishments during the quarter. Then Harry will take you through the financial results. As many people living in Ontario know, this past winter was the most severe one in recent years, capped off at the end of March by an intergenerational ice storm that swept across Central and Eastern Ontario. The severity of the ice storm resulted in significant damage to power infrastructure and resulted in Hydro One completing over 1.1 million service restorations. Some of our long service employees said it was worse or as bad as the ice storm of 1998. As always, our teams are there for our customers when it mattered the most. Teams from across Hydro One stepped up to safely restore power to homes, businesses, hospitals, schools and infrastructure. In short, to return life to normal. We are very grateful for the assistance we received from New Brunswick Power, Hydro-Quebec, 27 local distribution companies from across Ontario and 26 contractors from Ontario, Quebec, New Brunswick and Saskatchewan, who responded to our call for assistance and worked alongside Hydro One's teams to bring power back faster. At the peak, over 4,800 hard-working and enthusiastic individuals were deployed during the recovery efforts, working tirelessly to restore power for our customers. I'm incredibly proud of the hard work and dedication that everyone displayed in response to the ice storm. This was a great display of the community coming together to help those in need. The damage caused by the ice storm has been more devastating, leaving lasting impacts on trees, infrastructure and the communities we call home. We continue to determine the final costs, including those incurred by third-party contractors and other local distribution companies that supported our restoration efforts. Given the severity of the storm, we expect cost to be significant. And as a result, we will apply to recover costs through a Z-factor application with the Ontario Energy Board. This application allows utilities that have experienced a significant unforeseen event to apply for cost recovery. We understand and appreciate that cleanup will continue long after power is restored. As part of our commitment to supporting recovery efforts, we introduced the Ice Storm 2025 Recovery Grant. The grant allows indigenous communities and municipalities directly impacted by the storm to apply for grants up to $10,000 to aid in relief and rebuilding efforts. Regardless of the task, safety is always our top priority. The nature of our work means it has to be the case. This focus and commitment to safety continues to set new benchmarks in the industry, and our efforts were recently recognized by the Electricity Distributors Association. Hydro One was the recipient of the Public Electrical Safety Excellence Award. The award acknowledges outstanding contributions to public safety in the context of electrical activities and making significant strides in preventing accidents and promoting safe practices. The award was a result of our '10 meters away, your life depends on it' public safety campaign. The campaign used diverse media channels to enhance public safety awareness and drive behavioral changes. In December, we announced an agreement to purchase a 48% interest in the East-West Tie Transmission Line. I'm happy to report that on March 4, 2025, Hydro One successfully completed the transaction and now owns an equity stake in the line in partnership with the remaining owners, the Bamkushwada Limited Partnership, a consortium of 6 First Nations and affiliates of NextEra Energy Canada. As a reminder, the line is a 450-kilometer 230 kV double-circuit transmission line spanning from Wawa to Thunder Bay and has an OEB-approved rate base of approximately $880 million. The final acquisition cost, including closing adjustments, was $261 million. The purchase was immediately accretive to earnings with the full benefit starting in our second quarter. The line is a strategic asset that reinforces our position in Ontario's transmitter of choice and further enhances our ability to support the electrification efforts in Northern Ontario. On March 27, 2025, the OEB issued its decision and order on the generic cost of capital review. The decision and order followed an extensive review process, which included oral hearings and written submissions. Hydro One, local distribution companies, industry associations and interveners all participated in the process. The OEB retained the foundational elements of its 2009 cost of capital framework, including the use of the formulaic return on equity annual adjustment. However, the OEB did revise the values of the cost of capital parameters to be used to set rates, including the base ROE and the base reference parameters for the long bond yield forecast and utility credit spreads. The updated does will be effective starting in 2026. In addition, the OEB reset the deemed long and short-term debt rates and introduced a new index for [TA] and short-term debt rates. The deemed capital structure remained unchanged at 40% equity and 60% debt, for most utilities. The OEB also confirms that new cost of capital parameters will take effect on the utility's next rebasing rate application and signaled it intends to review the cost of capital policy again in 5 years. The changes announced will not impact the terms of Hydro One's settlement agreement for the 2023 to 2027 Joint Rate Application or the decisions for partnerships rate applications previously filed using 2025 rates. The OEB did note that utilities face unique circumstances may bring forward evidence in their next rate application and propose amendments to the generic ruling. We are reviewing the options to offset the impacts of the cost capital parameters in our next rate application, which is expected to be filed in the fall of 2026. Like all our peers, we continue to monitor the evolving tariff situation and uncertainty that it creates. With the rapidly changing environment, we remain agile, but are also taking a long-term perspective. For long-term stability and certainty, we must reduce the volume of materials we source from the U.S.-based manufacturers and further diversify our supplier base. We have taken several steps in this direction, including launching a strategic sourcing initiative that focused on diversifying our supply base through consideration of alternative designs, standards and technical specifications. We can qualify additional sources of supply that will allow us to secure a greater percentage of goods and services from manufacturers outside the United States. We are prioritizing partnerships in the purchasing of materials, equipment and services from indigenous communities and businesses, further expanding spend in Ontario. We continue with our suppliers to minimize the tariff impacts on the entire supply chain. In the short term, this means moving to Canadian alternatives where available, while developing long-term Canadian sourced solutions to further reduce trade risk. As part of the initiative, we are leveraging our purchasing power with suppliers to incentivize the manufacturing of more products in Canada. By providing longer-term material and labor demand forecast to our key suppliers, we will enable them to invest in the capacity growth and scaling to develop a Canadian sourced solution. Lastly, we are exploring consolidating our purchasing power with other Canadian utilities to reduce costs and once again encourage manufacturing within Canada. We will continue to review our procurement practices and identify further actions to further limit our tariff exposure and impacts. Our employees are the driving force behind our organization, and their contributions are a valuable resource for our success. I am pleased to report we have reached tentative agreements for 2 collective agreements. The main collective agreement and the customer service operations agreement with the Power Workers' Union, or the PWU. These agreements cover costs in frontline and customer-facing roles across the company's operations. I want to thank our respective teams for negotiating in good faith in search of an agreement, which met the needs of the employees, our customers and Hydro One. To respect the bargaining process between the teams, we will not be commenting on the specifics of the agreement until it's been ratified by the Power Workers' Union. In addition to receiving a Public Safety Excellence Award from the Electrical Distributors Association, Hydro One was also recognized for our sustainable financing initiatives. We are proud to have been recognized by the Electrical Distributors Association Sustainability Excellence Award for showing leadership in sustainable finance. Our sustainable financing initiatives have positioned Hydro One as one of Canada's largest sustainable corporate bond issuers. With that, I will turn the call over to Harry to discuss our financial results. Harry, over to you.
Harry Taylor : Thank you, David. Good morning, and thank you for joining us today. In the first quarter, we delivered basic earnings per share of $0.60 compared to $0.49 in the first quarter of 2024. The key drivers behind the year-over-year change included higher revenues net of purchased power due to higher 2025 approved OEB rates and higher average monthly transmission peak demand. These were partially offset by higher income tax expense, primarily due to higher pretax earnings, higher OM&A resulting from an increase in work program expenditures, including information technology-related expenditures, higher interest expense and higher depreciation, amortization and asset removal costs. Our first quarter revenues net of purchased power increased year-over-year by 11%. Transmission revenues increased by 15%, primarily due to the higher average monthly peak demand and changes in OEB-approved rates for 2025. Also contributing to the higher revenues in the quarter was the inclusion of revenue from the Chatham by Lakeshore transmission line, which was energized in December of 2024. Distribution revenues net of purchased power increased by 6.3% year-over-year due to the changes in OEB approved rates for 2025 and higher energy consumption. On the cost front, operating, maintenance and administration expenses in the quarter were higher by 3.1%. In the transmission segment, costs were higher by 6.6%, mainly due to higher work program expenditures, including those attributable to the aforementioned information technology expenditures. In the distribution segment, costs were largely in line with prior year, up slightly at 0.6%. Depreciation expense for the first quarter was higher year-over-year by 3.9%. This was due to the growth in capital assets as the company continues to place new assets in service. With respect to our financing activities, we saw a 10.1% increase in interest expense year-over-year. This was mainly due to higher weighted average interest rate on our long-term debt and a higher amount of long-term debt following the additional issuances in 2024. We continue to be pleased with the strength of our balance sheet, along with our creditworthiness. Our current annualized FFO to debt to net debt metric of 13.4% remains well above the threshold limits the rating agencies use in determining our credit rating. Turning to taxes. Our income tax expense in the quarter was $68 million compared to $51 million in the same quarter last year. The increase was primarily due to higher pretax earnings, which were partially offset by higher deductible timing differences compared to last year. The effective tax rate this quarter was 15.9% versus an effective tax rate last year of 14.7%. The current rate is consistent with our effective tax rate expectations of 13% to 16% for the remainder of the JRAP period. Moving on to our investing activities. In the first quarter, we placed $423 million of assets in service for our customers. This was an increase of 76.3% compared to last year. In the transmission segment, we saw an increase of 192% year-over-year, primarily due to the timing of assets placed in service for station refurbishments and replacements as well as investments placed in service for transmission stations. In the distribution segment, in-service additions increased by 33.7% from the prior year due to investments placed in service for the Orillia Operation Center and higher volume of storm-related asset replacements earlier in the quarter than the storm that David referenced. Looking at our capital expenditures. In the first quarter, we invested $735 million, which was an increase of 9.2% over 2024. The increase occurred in both the transmission and distribution segments as a result of higher investments in new transmission infrastructure, investments in Ontario's broadband initiative, a higher spend on storm-related asset replacements and higher volume of work on transmission customer connections. These were partially offset by a lower spend on station refurbishment and equipment replacement within the transmission segment and a lower volume of work on distribution customer connections. Looking ahead, we continue to expect earnings per share to grow between 6% and 8% annually through 2027, using the normalized 2022 earnings per share of $1.61 as a base. Finally, I am pleased to report that our Board of Directors declared a dividend of $0.3331 per share payable to common shareholders of record on June 11, 2025. With that, we will open the phone lines and be pleased to take your questions.
Wassem Khalil: Thank you, David and Harry. With that, we ask the operator to explain how they would like to organize the Q&A polling process. In case we can't address your questions today, my team and I are always available to respond to follow-up questions. [Operator Instructions] Please go ahead, Shannon.
Operator: [Operator Instructions] Our first question comes from the line of Robert Hope with Scotiabank.
Robert Hope : So part of the election platform was to build out the East-West Canadian transmission grid. How do you think about incremental connections to Manitoba and Quebec? And are they needed just given the fact that most power is exported north to south?
David Lebeter : Robert, David speaking, and thanks for joining us and for your question. As you know, Ontario is already connected to Quebec on the east and Manitoba on the west, and that's used for energy trading purposes. We look at it and see an opportunity to optimize the resources that our neighbors on the east and west have in terms of large reservoirs, which would be valuable batteries as Ontario builds out its generation fleet. And putting those 3 provinces -- connecting those 3 provinces more tightly or with more capacity would allow for some interesting trading opportunities and the ability to optimize the value of the resources that both provinces have in Ontario, that would be the large generation resource, particularly I'm thinking of the nuclear build-out and the renewable build-out that's happening. And on the 2 provinces on either side, their water reservoirs, which, as I said, are massive batteries.
Robert Hope : All right. Appreciate that. And then maybe keeping on transmission as well. In the scenario where there is a little bit of a slowdown in industrial demand, how do you think about the pace of transmission investment and the allocation of incremental lines from the government?
David Lebeter : I think the pace is more likely to continue than not even with a slight economic downturn. And the reason I say that, when we look at the congestion points across the province, there are many of them. And the economy is still growing. We still have large immigration into Ontario. If anything, the tariffs might increase the spend on the agricultural sector for food stability. So these congestion points have to be relieved if you want to expand into the mining activities in the north or as per your earlier question, connect more strongly to Ontario or to Quebec and Manitoba.
Operator: Our next question comes from the line of Maurice Choy with RBC Capital Markets.
Maurice Choy : I just wanted to touch on the equity partnership model that offers First Nations a 50% equity stake or option to acquire that for any new transmission lines exceeding $100 million. Back in the federal election campaign, the now elected liberal government spoke about not just maintaining the loan guarantees for program for First Nations, but also expanding the size and scope of that. So to that end, I wonder if you're anticipating that this equity partnership model might be utilized a little bit more, such that it might allow you to deploy the proceeds and reduce your new capital needs for the next regulatory period?
David Lebeter : Maybe I'll jump in and then you can round it out if you want, Harry. Thanks for the question, Maurice. We were really pleased to see the federal government and the election run-up propose doubling the size of the indigenous loan guarantee program. That program is really important for our partners to be able to source reasonably priced financing. So I don't think we're going to see a greater uptake on our partnership model because it's already -- every partnership model is fully subscribed. People are -- our indigenous partners are really interested in joining. I think what it will do is make it easier for them to arrange cost-effective financing and allow us for us to move through the partnership development phase quicker. Harry, anything you'd like to add to that?
Harry Taylor : Yes. Just going to support the point Maurice, you made, which is it allows us to redeploy the capital. So we are fully supportive of our partners in maximizing their investment in our transmission lines so that we can redeploy the capital that comes from that. It's a win-win on both sides. And we're making good progress on our Chatham by Lakeshore lines, and we'll have more details as they come available. But the availability of greater funding just makes it easier for the First Nations to have competitive sources of capital.
Maurice Choy : Understood. And if I could just finish off with more of a broad theme here. At least when you look at some of your peers in the U.S., there's a lot of discussion about rising costs, particularly due to the impact of tariffs. I sense that the impact is obviously a little bit different for you here in Canada. But curious if you're seeing any rise in capital costs, including some of the RFPs that you put out and how that may impact customer affordability if you're passing those costs on?
David Lebeter : Yes. Obviously, tariffs create a lot of uncertainty, as I mentioned in my remarks, and they do increase costs on certain pieces of equipment, particularly equipment which is sourced out of the U.S., which is our biggest problem right now actually isn't the cost that we've seen increase in materials. We've been able to manage that so far through some of the sourcing activities I spoke about, but also by living up our inventory. So for the shorter term, we're fine that way. The bigger challenge is actually securing manufacturing slots to make sure we have the materials available when we need them so that our construction activities and our maintenance activities are not impacted. And towards that end, our supply chain team has been looking further down the road, locking up manufacturing capacity and also, again, looking for diversity in suppliers so we can get additional manufacturing capacity. It's one of the factors that will drive affordability. We're certainly going to have to think about that carefully as we build our next rate application, Joint Rate Application '28 as we refer to it and demonstrate, which is one of the reasons we have a large focus on cost takeout, demonstrate that we are doing everything we can to manage affordability for our customers and provide excellent service, which is 1 of the 4 key pillars in our strategy, which we revised about 18 months ago.
Harry Taylor : And Maurice, as David said, we're not seeing anything immediately, but we're anticipating some cost increases. Our supply chain team and procurement team are doing everything they can to minimize and mitigate those impacts. We also have pretty aggressive productivity initiatives underway to offset to the extent that we can't avoid some increases to offset the impact of those. So that ultimately, our customers don't have to bear the full cost of any tariff or trade war-related increases. And those productivity initiatives, you know our track record of delivery. We're trying to accelerate everything we can, not just to deliver the productivity, but to offset some of these unforeseen increases that may develop.
Maurice Choy : Just a quick follow-up. Is there a potential that some of the projects that is supposed to do in this 5-year period might get a little bit expensive and get delayed to the next 5-year period?
Harry Taylor : No, I don't think any of the major projects would have that. We've got a lot of spending in terms of refurbishment, replacement, et cetera. So we assess the condition, the state of our assets, and we make decisions -- replacement decisions based on where they are. Obviously, anything that is close to end of life or that is breaking, we fix. But the rest, we do have some room to maneuver as the OEB does expect us to redirect expenditures so that we don't exceed our approved envelopes.
Operator: Our next question comes from the line of Julien Dumoulin-Smith with Jefferies LLC.
Jamieson Alexander Ward : It's actually James Ward on for Julien. We can maybe kick it off just on the longer-dated large transmission projects, how are you thinking about the potential for additional announcements along this span?
David Lebeter : Well, James, as transmission lines are awarded to us, we do announce them, we make sure we keep you informed. What we're waiting for right now is the long anticipated integrated energy plan that the Ministry of Energy and Mines has been working on with the independent electric system operator. We remain optimistic that will get released soon. I don't think it would be May, but maybe early June, we would see that released. And that should give us some indication of additional transmission lines that the province wants to move forward with. As I said earlier in the call, we have a lot of congestion in the province. We've identified those congestion areas. We've done a lot of regional studies over the past year. Working with the independent electric system operator to identify what those are and what the possible solutions are to get around that. Now obviously, we'll be looking for non-wire solutions to begin with. Those are usually lower cost, but there does have to be more build-out. And as soon as we get more insight, we'll pass that along.
Jamieson Alexander Ward : I appreciate that. The reason I asked it was just for the second part to the same question here was just when we combine it with your next JRAP 2.0 application, how do you see the combined construction profile there for the next few years stacking up against the OEBs and their successful application for higher equity layer? That's the full question.
David Lebeter : Yes. Harry, do you want to answer that question on the cost of capital and the equity thickness and how we're looking at that?
Harry Taylor : Yes. The ruling from the OEB was a generic ruling. And most of the utilities regulated by the OEB are not investor-owned utilities. They do have some differences in equity thickness for different utilities as well. And throughout -- if you read the ruling throughout it, they invite utilities who think they have either unique or specific circumstances to bring in an application why something should be different. So if we believe that equity thickness should be higher for our transmission business, we should propose that in the application. If some of the other parameters we don't think are relevant or as applicable to our business as an investor-owned utility competing globally for capital to fund the investments that we're going to make, we will bring that in our application. So the door is open for bespoke parameters in a rate application. Now the application needs to go through the settlement process and God forbid litigation, but through to an approval. And we have every intent to put in an application that fits our -- what we believe our circumstances and needs are, so that we can serve Ontarians with the lowest cost investments to deliver the infrastructure that's required to support the electrification of the province.
Jamieson Alexander Ward : Got you. Just -- sorry, just to clarify, when I -- in case it didn't come through, I was thinking relative to the OPG's successful application is what I meant to say there because obviously, they succeeded in what you're looking to do here. So maybe a bit apart from the cost of capital part on the ROE, but more to do with the higher equity layer.
Harry Taylor : Yes. Well, that's a precedent that serves us well as do other capital structures and other regulatory jurisdictions. OPG will be back in before our application goes in as well, but they're all helpful to make our case for the transmission, the long-lived transmission projects that we're investing in over this rate period and the next rate period.
David Lebeter : James, as we've talked about in conferences, we anticipate to see more transmission line build going into JRAP '28. You already see some of that build that goes out to 2031, 2032 right now, we expect it to go beyond that. That larger buildout is the exact same reason why OPG has a higher equity thickness as they went into their nuclear refurbishment. So we feel confident in our next rate application, we'll be able to get that.
Operator: Our next question comes from the line of Mark Jarvi with CIBC.
Mark Jarvi : I just follow up on those last comments, David. Are you suggesting that the equity thickness or the pursuit of a higher equity thickness or maybe other mechanisms like AFUDC would be primarily on the transmission side of the business and maybe not so much on the distribution side? Or would you pursue that on both segments?
David Lebeter : We're going to look at -- Go ahead, Harry.
Harry Taylor : Yes. It's clearest on the transmission side, Mark, but I'm not saying we wouldn't apply or consider the distribution. We just have to make sure that we've got a good case that supports it, that's there. I think it's somewhere between obvious and apparent the need on the transmission side, a little less so on the distribution side, but not without given the scale of investments and the requirement for equity to ensure the equity thickness is appropriate across both major segments.
Mark Jarvi : Understood. And then coming back to the tariff question. I mean, you talked about how you're well prepared inventory, but even getting slots is challenging. What are you hearing from smaller utilities and is the current situation that's exacerbating the pressure on the small LDCs? And are you feeling like this is teaming yourself up for some more consolidation in the year ahead?
David Lebeter : I'll jump in on that one. Certainly, the smaller utilities are going to struggle more than a larger utility. They just don't have the purchasing power. They don't have the scale. But on the flip side, they're not experiencing the same kind of growth that we're experiencing. So some of them have rapidly growing municipalities or distribution system buildout. They don't have the transmission. So the pressures are different. Any time you do see prices go up, though, it does squeeze them. They have limited ability to raise capital for their investments. So I think that will help with some LDC consolidation. And whether that we would certainly like that to see that turn into sales, but could also turn into mergers of other LDCs together, but we're certainly hoping it turns into sales.
Mark Jarvi : Any early indications that those conversations are accelerating?
David Lebeter : I think you've seen some of that pressure already. The LDCs are lobbying the Ontario Energy Board for some changes in the parameters that govern them. I will see some more of that. We have seen an uptick in the interest in people kicking the tires, thinking about selling. So we're seeing increased activity there. So yes, we are starting to see some of the pressures.
Operator: Our last question comes from the line of Patrick Kenny with National Bank Financial.
Patrick Kenny : Just I guess, with the strong start to the year here and in part due to the higher peak demand in the quarter, any thoughts on accelerating some M&A over the summer months just to, I guess, manage the pace of over earnings for the year and the overall EPS growth rate or perhaps bring forward any larger maintenance projects from 2026 just to further harden the system?
David Lebeter : I'll start that, and then I'll let Harry jump in. So first of all, Patrick, I hate that term over-earning. I prefer to say we've exceeded the target earnings or met the target or something like that. But in any event, we're going to remain completely focused on our approved budget envelopes that we received in the last rate filing from the OEB. Our challenge will be to maintain -- stay within those limits. We believe that demonstrates good fiscal prudence. We believe we can do that and manage the health of our assets. So not having any negative impacts on reliability, public safety or employee safety. And we believe that sets us up very well when we bring our next rate application for JRAP '28 to show that we can be trusted to do what we said we were going to do and live within our envelopes and deliver the results that we promised.
Harry Taylor : The only thing I'd add, Patrick, is the storm that David referred to in his remarks, for those that don't live in Central Ontario, the depth and destruction is pretty substantial. So we have incurred significant costs. We haven't got them all rolled up and tallied, but that's why we are filing the Z-factor application because it meets all the criteria for that. But that's a substantial, if you will, overspend from what we had planned for the year. Now we're very confident we meet all the criteria and we'll get recovery, but we're not in a case of not spending anywhere close to our envelopes at this point.
Patrick Kenny : Got it. Okay. And then I guess just given the strong interest in the sector and healthy valuations, how are you thinking about perhaps feathering in some equity capital needs a bit earlier than previously planned? Obviously, there's a lot more growth still to come here. But just wondering, contemplating an ATM on an opportunistic basis or other strategies around just managing the longer-term equity capital needs?
Harry Taylor : At this point, Patrick, it's tempting. I've had one investor send me a note saying, hey, consider it, given where the stock is trading. But we're trying to manage dilution, number one, need, number two, and timing well. So it's something that we're very conscious of. We don't need the equity now, given our strong credit profile and the room we've got on the borrowing side. And we do want to manage dilution. So we will work through that as we go. But at this point, we don't have any change in our funding plans. We will continue to borrow to fund all the CapEx that is required, keeping a watch on FFO to debt. And then looking at the right time to raise some equity. We do not want to surprise you or our investors. And so we will -- as we develop our strategy, we'll communicate so that we don't bring anything to market that creates any unexpected and unintended consequences.
Operator: Thank you. And that does conclude our Q&A session for today. I'd like to turn the call back over to Wassem Khalil for any further remarks.
Wassem Khalil: Thank you, Shannon. The management team at Hydro One thanks everyone for their time with us this morning during what is a busy period. We appreciate your interest and your continued support. If you have any questions that weren't addressed on the call, please feel free to reach out, and we will get them answered. Thank you again, and enjoy the rest of your day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program, and you may all disconnect. Have a great day.